Operator: At this time, I would like to welcome everyone to the America First Multifamily Investors LP’s, NASDAQ ticker symbol ATAX, Third Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, this conference call is being recorded. At this time, I would like to turn the conference over to Craig Allen, ATAX’s Chief Financial Officer. Sir, you may begin.
Craig Allen: Thank you. I’d like to welcome you to ATAX’s third quarter 2015 earnings conference call. During the course of this conference call, comments we make regarding ATAX, which are not historical facts, are forward-looking statements and are subject to risks and uncertainties that could cause the actual future events or results to differ materially from these statements. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, forward-looking statements can be identified by the use of words like may, should, expect, plan, intend, and other similar terms. You are cautioned that these forward-looking statements speak only as of today’s date. Changes in economic business competitive, regulatory and other factors could cause our actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, we would ask that you please review the periodic reports and other documents filed from time-to-time by ATAX with the Securities and Exchange Commission. Our internal projections and beliefs upon which we base our expectations may change, but we will not necessarily inform you if they do. Today’s discussion will include some non-GAAP measures and we will be explaining those during our call. We’d like to thank you for your participation and your interest in ATAX. And I would like to now pass the call over to Chad Daffer, ATAX’s Chief Executive Officer.
Chad Daffer: Thank you, Craig. Welcome everyone to ATAX’s third quarter earnings call. We’re looking forward to talking with you about our performance of the company. In our call today, we are going to have three different parts. First, I will go share with you the overview of the event for the third quarter, Craig will provide an overview of cash available for distribution, and then I’ll close, and share a few of my thoughts on the balance of 2015 and 2016. As you look back for the past three months there was a number of housekeeping items that were completed. First, in no important – no order of importance completion of the Volcker Rule compliance, Consent Solicitation Statement, closure of our Freddie Mac Tax-Exempt Bond Securitization or TEBS. I’ll talk a little bit about the average activity in our portfolio, and I’ll spend a few minutes updating you on the Suites on Paseo. First Volcker Rule compliance, in July we completed all efforts to be compliant with the new rules that affect housing trust to the bond financings with our bank partners known as Volcker Rule. I’m pleased to report all the debt instruments are fully compliant, with all the new regulations going forward and we could put this behind us. This is an important for us on how we finance our positions during the aggregating time of our portfolio. And I’m pleased to state that we are now fully compliant. Consent solicitation statement as you all know we issued a proxy for your consideration in August. And with the support of all the unitholders, all eight proposals were successfully passed in September. As a result, we amended and restated the Limited Partnership Agreement effective September 15, 2015. Freddie Mac’s taxes and bonds securitization for TEBS in July ATAX closed its third TEBS financing. Nine bonds with a core amount of $105 million, replaced in trust. By doing this we effectively extended the financing date on our bonds, and generated over $40 million of investable proceeds. These proceeds we’ve invested we hope, by year-end. We have limited activity in our portfolio in the third quarter, that attribute not a much of this to our conservative underwriting and closing requirements for our bond investments. We had a healthy pipeline with, I think we will still close, we’ve already closed two of them in the fourth quarter. I think we’ve got a press release on. In the past, we’ve had a number of issues with [indiscernible] type of investments or entitlements that we were asked to close on post closing. We are not going to make that mistake again, so we postponed the closing on four of our closings, to later in the year. We did close on one purchase of a multi family housing revenue bond in California an amount of $6 million. This is an acquisition rehab. The property is currently being rehabbed and will be added into our future debt financings. We did have one sale of a multifamily real estate owned property. In August, we sold Glynn Place apartments in Brunswick, Georgia. We had gain on sale of $1.2 million, we moved out this position for real estate fundamentals, we had a difference with a change in the underlying market fundamentals. We bought this asset as a portfolio acquisition; we did not feel, it was appropriate for long-term bond refinancing and securitization. Therefore we exited with the highest investments for the benefit of our investors. Update on the suites for sale, 394 units of student housing in San Diego state. In September, the owner of the property and ATAX agreed to exchange, the deed of the property for all outstanding bonds. Since then the bonds have been collapsed. ATAX is the piece of the owner of the property. Our goal here is to improve the occupancy; we purchased the B bonds in the spring of 2015, effectively becoming the owner operator of the property. At that time occupancy was plus and minus 40% after a lot of effort within counsel with our onsite property management team we entered the false investor of 100%. We’re also working to improve the financial performance of the Beaufort [ph]. We have removed the previous operator, replacement with a international food service provider. They were on site on September 1 and their performance is being currently evaluated. Our goal here is to improve the financial performance, the occupancy, seasonal asset and look for the highest and best use of exit [ph] either restructuring of the bond financing, with the faster securitization, and/or a reasonable sale of land and improvements as the property owner. At this time, I’d like turn it back to Craig Allen, our CFO of ATAX. Craig?
Craig Allen: Thank you, Chad. In our first – in our 10-Q for the third quarter, we have included a new table within the liquidity and capital resources section of the MD&A. And in there, we identified the components of our cash available for distribution per unit or our CAD. We start by representing the reported CAD and we work our way down to presenting recurring CAD for both the three and the nine months ended September of 2015 and 2014. The components impacting our reported CAD that I would like to highlight include some tier 2 income on the sale of the selected assets, one that Chad talked about Glynn Place, and another that we reported earlier in the year 2015, the Colonial. Another one-time income transaction that was earned as certain mortgage revenue bonds was refinanced, also included a one-time G&A expenses and some non-recurring MF property expense as well. For Q3 2015, ATAX earned $0.09 in CAD, and $0.34 year-to-date 2015. We remain focused on our core business and our ability to conservatively underwrite the credit on our mortgage revenue bond investments. The final two VIE properties will be sold in Q4 2015, which will result in the recognition of additional tier 2 income. These are also reported in a little bit more detail in our Q3 2015 10-Q. Our goal remains to report CAD that is at least equal to our distribution rate on an annual basis. We remain confident we can achieve this goal for 2015 for really four different reasons one through normal operations of ATAX. Secondly, as we consummate the final two VIE sales and recognize tier 2 income. Three, we realized additional income in Q4 through the net interest spread that we will realize on Q3 2015 investments. And finally, number four, through our conservative approach to investment and the reinvestment of proceeds for the benefit of our unitholders. Again, our goal is to report CAD that is equal to our distribution rate on an annual basis. And with that I’d like to turn it over to Chad for some closing remarks.
Chad Daffer: Thank you, Craig. Our focus for the balance of 2015 and throughout 2016 will continue for us to work towards strategic builds when it’s accretive toyield our unitholders, staying in the course to our core discipline of delivering a tax exempt return, to give the investor while investing in assets that may enhance the returns to the portfolio and growing CADs. Thank you for your continued support of ATAX and we will look forward to taking questions at this time.
Operator: [Operator Instruction] And I’m showing no questions at this time. And we do have a question from the line of [indiscernible]. Your line is open.
Unidentified Analyst: Hi. Can you give any estimate of what the tier 2 income is that you’ll get off the sale of the VIEs in the fourth quarter?
Craig Allen: Yes, that’s a great question. But at this time what we’re doing is still finalizing the details of those sales, those have not closed yet. So, we really can’t get guidance as to what will – what that CAD will look like. What I would say though is – I think it would be reasonable to expect that when we close these two transactions that we will probably issue a press release and let everybody know what the results of that are.
Unidentified Analyst: And do you guys have any guess or idea when you think you’ll be in a position where you’ll be covering CAD on kind of ongoing basis in the future, any kind of target date?
Craig Allen: Yes, sure. I think the best way to answer that is we continue to remain focused on that. And I think through as Chad and I have both said through 2015 that we would expect to reach a CAD of at least $0.50 for the year. And then throughout 2016 that would still be our goal to try – just try to achieve that. So we remain focused on that and again that’s our goal and our effort for 2016.
Unidentified Analyst: Okay, great. Thank you very much.
Chad Daffer: Thank you.
Operator: Thank you. [Operator Instructions] And I’m showing no further questions at this time. On behalf of ATAX, I would like to thank you for attending our third quarter 2015 earnings call. We appreciate your interest in our company.